Operator: Hello everyone. This is Olga Levinzon Coty’s Senior Vice-President of Investor Relations. Thank you for joining us today for the prepared remarks portion of Coty’s First Quarter Fiscal 2025 earnings. On Thursday, November 7, 2024 at approximately 10:30am Eastern Time or 4:30pm Central European Time, we will hold a separate live Q&A session on our results which you can access via our Investor Relations website. Joining me for our presentation are Sue Nabi, Coty’s CEO, and Laurent Mercier, Coty’s CFO. Before I hand the call over to Sue, I would like to remind you that many of the comments today may contain forward-looking statements. Please refer to Coty's earnings release and the reports filed with the SEC where the Company lists factors that could cause actual results to differ materially from these forward-looking statements. In addition, except where noted, the discussion of Coty's financial results and Coty's expectations reflect certain adjustments as specified in the non GAAP Financial Measures section of the Company's release. Thank you. I will now hand it over to our CEO, Sue Nabi.
Sue Nabi: Thank you Olga. Welcome everyone. As we enter fiscal 2025, the microeconomic environment remains as complex as ever and the outsized growth of the last few years is now entering the normalization phase. But one thing is very clear, consumers continue to prioritize beauty in their spending routines even as they pull back on many other consumer segments. Within the broader beauty backdrop, fragrances remain a top performing category. As a beauty leader and increasingly as a beauty trendsetter, Coty remains at the forefront of fueling consumer desire and driving category growth through disruptive launches, new and improved formulations, and engaging activations and campaigns. Let me summarize the four key messages we want to leave you with today. First, we continue to deliver sustained like for like sales growth. In fact, we are further building on our multi year track record of outperforming the leading global beauty players. Second, the fragrance market remains robust with more consumers entering the category using fragrances more often and exploring with a variety of concentrations and formats. Third, we are step changing our efforts to adapt Coty for future success in the ever more dynamic market environment. Not only will these efforts enable the company to lead in the beauty market of tomorrow, but they are also bringing additional savings in fiscal 2025 and beyond, supporting our ability to deliver our fiscal 2025 adjusted EBITDA target of close to 10% growth. And finally, we will continue to play across the full range of our brands and categories to capture growth opportunities and support sustained outperformance. Despite moderately lower than expected growth in Q1, Coty continued to outperform leading global beauty companies. Now, in 9 out of the last 13 quarters, we have delivered like for like growth, which is ahead of Global peers like L'Oreal, Estee Lauder, Shiseido and LVMH Perfumes and Cosmetics Division. Our continued outperformance is clear on the slide shown here. In a complex microeconomic environment, Coty's consistent outperformance of our peers confirms that our growth is a result of our clear strategic vision, strong execution and our ability to seize on and develop beauty trends in each of our core categories. The beauty market continues to grow at a healthy pace as you can see it, particularly in the categories in which we compete. On this slide, the prestige fragrance category remains robust even as growth has moderated a little, exiting Q1. Both in fiscal 2024 and entering Q1 fiscal 2025, Prestige Fragrances grew approximately 12% across North America and Europe, while in September the combined market moderated by a couple of percentage points. This reinforces our view that the prestige fragrance category continues to be supported by structural growth drivers which will allow it to continue to grow in line to ahead of the underlying beauty market in the coming quarters and years. For Coty, our prestige fragrance portfolio continues to perform strongly, particularly in EMEA, while in the U.S. both our sellout and selling growth is impacted by the very elevated comparisons of the prior year which included the blockbuster launch of Burberry Goddess. On the consumer beauty side, the global market has slowed from fiscal 2024 levels but continues to grow at a low single digit pace in recent months consistent with pre-COVID levels. Within this backdrop, we see outperformance in mass fragrances and body care categories which are both growing strongly in the high single digits. At the same time, mass color cosmetics has moderated to flattish to slightly negative performance with the weakness concentrated in the U.S. We continue to see two main factors at play in the flattish mask cosmetics market. First, unit demand growth remains positive but has moderated to a low single digit level as consumer demand normalizes following the post-COVID surge. Second, pricing is no longer the strong positive building block of the last few years. It's important to highlight that mass cosmetics sales growth in the e-com channel remains robust and we continue to gain share in this critical channel. Against this broadly healthy market backdrop, we’ve continued though normalizing beauty growth, we have clearly seen much more cautious and risk averse behavior by retailers in certain areas. In our U.S. consumer beauty business which account for a little more than 10% of our sales, retailers have been actively managing their orders, inventory and networking capital. This was exacerbated further by the significant channel shifts in the market with drugstores embarking on door closures and overall balance sheet management. As a result, our Q1 revenue trends in the U.S. consumer beauty were significantly below our sellout. It's important to contextualize that our exposure to the U.S. Drugstore channel is fairly small, accounting for a low to mid-single digit percentage of Coty's annual sales. On the prestige side, our selling tracked well below sellout in China and Asia travel retail, each of which account for a low single digit percentage of sales. As demand remained sluggish, retailers adjusted orders further and new regulations were enacted in the Asia travel retail corridor. At the same time in Australia which also accounts for a low single digit percentage of our sales, our prestige business shipments were also impacted by substantial working capital reduction at a key retailer. The net result of these factors was a couple of percentage points of headwind to our selling in Q1 and we expect the same dynamics to extend into Q2. Combining this sell in sellout dynamics with some normalization in beauty market growth and the earlier shipment of fragrance gift sets which benefited Q1, altogether this is driving our outlook for Q2 like for like sales to be slightly positive. However, with the gap between sell in and sellout suggesting limited further runaway for further inventory cuts, we expect this inventory reduction impact to abate entering the second half. Our 4.5 like-for-like growth in the first quarter was reflective of the overall market dynamics. In prestige we reported 7% like-for-like growth in the quarter fueled by prestige fragrances growing strongly at 9% like-for-like with some benefit in the quarter from earlier shipments of gift sets. Our prestige division delivered expansion in volumes, estimated price and estimated mix. In consumer beauty our growth was flat as we experienced slightly negative volumes impacted by the slower market as well as the inventory reductions in the U.S. mass channel. And by region, we saw high single digit growth in EMEA, mid-single digit growth in Americas amid single digit decline in APAC which was a result of the ongoing pressure in China and the regional travel retail channel. Our growth engine markets including Brazil, Mexico, the rest of LATAM, India, China, Southeast Asia, Africa and Middle East, altogether, these growth engine markets account for approximately 21% of our Q1 sales and grew strongly at 15% like-for-like in Q1, including approximately 5% contribution from the hyperinflationary environment in Argentina. And in addition to this growth engine markets our travel retail channel which accounts for roughly 9% of our Q1 sales grew 4% like-for-like in Q1 driven by growth in the Americas and EMEA while our results in Travel Retail Asia were challenged by tight inventory management by local retailers. Our sales in mature markets grew 1% like-for-like weighed down by the sell in sellout dynamics described earlier in the U.S. and in Australia. Let me now hand the call over to Laurent to take you through our financial results and guidance.
Laurent Mercier: Thank you, Sue. Our first quarter net revenue grew 4.5% like-for-like supported by solid growth in prestige fragrance, mass fragrance and mass skin care. This mid-single digit percentage growth is commendable as it comes on top of the incredibly strong 18% like-for-like growth in the first quarter of last year. We also delivered very strong gross margin expansion in Q1. Our Q1 adjusted gross margin grew by 200 basis points to 65.5% driven by the benefit from premiumization, pricing actions, negligible inflation excess and obsolescence reduction and continued supply chain productivity. We also maintained our strong and unwavering marketing support behind our brands. In Q1, A&CP investments represented approximately 25% of sales increasing by 40 basis points from the prior year as we continue to invest behind icons and innovations. We continue to expect our A&CP investments to be in the high 20s percentage level of sales in fiscal year 25. Our Q1 adjusted EBITDA was roughly flat year-over-year at 360 million driven by the combination of lower than anticipated order patterns in the second half of Q1, our continued investment in our strategic initiatives, the timing of certain operating expenses and the profit impact from the divestiture of the Lacoste license. Our adjusted diluted EPS excluding the equity swap was $0.18 in Q1 growing 20% year-over-year. This growth reflected a discrete one time non-cash tax impact of $0.03 last year. As a reminder, we expect certain drivers of our adjusted EPS in fiscal 2025. First, we expect depreciation to be in the low to mid 200 million level. Second, we anticipate net interest expense for the year to be in the low to mid 200 million. Third, we anticipate the adjusted effective tax rate for fiscal 2024 to be in the 28% to 29% range. Finally, on share count, we remain committed to reducing our share count toward 800 million by fiscal year 2027. While we have two equity swaps in place for future share buybacks, deleveraging towards our targeted levels remains a key priority for our organic cash flow generation. Of course, the eventual divestiture of Wella will provide flexibility for more active share buyback activity, which will be further amplified in the medium term by our ongoing cash flow generation once we reach our target leverage. In the quarter our free cash flow was slightly negative compared to over $100 million of free cash flow generation in Q1 of last year. This reflects the tight order and inventory management by retailers in several markets as highlighted earlier in the call, resulting in orders placed at the end of the quarter and therefore higher receivables year-on-year as well as the phasing of payables. As a result, we ended the first quarter with net debt of approximately $3.7 billion and leverage of 3.4, times up slightly from the end of fiscal 2024 but down a significant 0.4 turns from the leverage a year ago. These leverage levels exclude our Wella stake valued at approximately $1.1 billion. In this very dynamic beauty market environment, we are future proofing Coty's organization and processes to better capture new opportunities, respond to changes in the market with more agility and solidify Coty's position as a beauty leader over the long-term. Some of these work streams are newly initiated while others were already underway as part of our all in to win program which has already delivered around 700 million of savings life to date and we are simply accelerating the timeline of delivery. Through the combination of these efforts we now anticipate fiscal 2025 savings of over $120 million, an increase of over $45 million versus our initial target. And importantly, these projects should continue to deliver savings in fiscal 2026 and beyond. Let me take a minute to review the concrete action plans as we future proof the organization and accelerate our agility which fall under five pillars. The first pillar is establishing centers of excellence for key processes. As an example, we are implementing a state of the art demand planning solution supported by standardized data across our global multi category business. In conjunction, we are consolidating two planning hubs into one global planning hub in Barcelona. We are continuing to ramp up the use of external business process vendors for various support functions. We are also assessing further opportunities to streamline other functional capabilities into centers of excellence. The second pillar focuses on adapting our commercial organization to the increasingly omnichannel world with a shifting channel landscape around the world including retailer centralization, multi category and multi price point offerings and the blurring of offline and online. We are assessing the changes to our structure that are needed. The third pillar is centered on speed to market. We alluded to this effort on the last earnings call when we discussed the launch of our agile beauty multifunctional organization. Such an agile approach aimed at reducing our time to market for certain initiatives to a matter of months is fully applicable for each of our core categories. The fourth pillar is maximizing the benefits of emerging tech and AI. As we discussed on the last earnings call over the summer, we successfully completed our migration to S/4HANA, which was executed seamlessly and with no interruption to the business. With the migration now complete, we expect S/4HANA to support better efficiency and drive savings through more automation, standardization, better controls and global efficient processes. Additionally, we are in the process of deploying AI across a number of functions including robotics, process automation and testing, vendor invoices, procurement and content creation and iteration for marketing functions, all of which are also contributing to efficiencies. The fifth and final pillar is our regional footprint redesign as we continue to fine tune our end to end capabilities and assess the markets and channels where we have the biggest and most profitable opportunities for growth, with a focus on allocating resources from the list to the most attractive opportunities. All of these action plans are already underway with approximately $20 million of savings delivered in Q1 and further step up expected in Q2 and second half of the year and beyond. We will continue to share more details on these key transformations pillars in the coming months and quarters. Let me now share some context on our outlook for the first half and beyond. As Sue discussed over the last several months, the beauty market has maintained solid momentum, though growth has moderated from the outsized double digit growth of the last few years. Prestige fragrance remains an outperforming category with recent category growth around 10%. Mask beauty is now growing in the low single digits with flattish performance in the Mask Cosmetics category. Within this backdrop, slower end demand and significant channel shifts in U.S. Mask Beauty and in Asia, we are continuing to weigh on orders levels into Q2 with selling tracking well below sellout. As a result of these factors, in the first half of fiscal 2025, we expect like-for-like growth of 3% to 4% with moderate like-for-like sales growth in Q2 of 1% to 2%, reflecting the continued gap between sell in and sellout and the phasing of fragrance gift set shipments between Q1 and Q2. On a reported revenue basis, the Lacoste divestiture and Forex should each represent a slight headwind of less than 1%. The combination of continued gross margin expansion and the accelerated savings is expected to fuel EBITDA growth in the low to mid-single digit level in the first half, including mid-single digit growth in Q2. EPS is expected to be $0.38 to $0.40 reflecting low to mid-teens percentage growth. With a tight inventory management by retailers adding some variability on cash inflow timing, we remain on track to exit calendar year 2024 with leverage below 3 times and we continue to target leverage close to 2.5 times exiting calendar year 2024. Looking to the second half the pace of category growth and consumer demand during the critical holiday period remains the central factor influencing the outlook for the second half including retailer inventory levels and pace of reorders. At present, we anticipate like for like growth in the second half to be relatively consistent with the first half at approximately 3% to 4%, reflecting easier prior year comparisons and solid prestige fragrance performance on the one hand and continued pressure in China, Asia travel retail and U.S. Mass cosmetics on the other hand. We expect gross margins to be flattish year on year off the quite elevated level last year and reflecting over 150 basis points of expansion versus two years ago. The combination of sales growth, healthy gross margin, sustained strong A&CP support and significant savings delivery should support steady EBITDA growth acceleration in Q3 and in Q4. This is expected to translate to EPS in the second half of $0.14 to $0.16. Altogether this translates to fiscal year 2025 like-for-like sales growth of 3% to 4%. Through the combination of continued sales growth, continuous gross margin expansion and increased cost savings for fiscal year 2025 and beyond while maintaining A&CP in the high 20s percentage we expect fiscal year 2025 adjusted EBITDA to grow near the lower end of our prior guidance of 9% to 11% year-on-year. This adjusted EBITDA growth target in conjunction with continued though more moderate revenue growth reflects an even stronger adjusted EBITDA margin expansion in fiscal year 2025 of close to 100 basis points following the 30 basis points adjusted EBITDA margin expansion in fiscal year 2024. We expect fiscal year 2025 adjusted EPS excluding the equity swap to be at the low end of our prior guidance range of $0.54 to $0.57, reflecting mid-teens percentage growth from last year. We continue to target fiscal year 2025 free cash flow in the low to mid 400 million driven by the combination of higher profit and lower cash taxes partially offset by certain cash benefits recognized in fiscal year 2024 which will not reoccur. And as we continue to deliver strong free cash flow in fiscal year 2025 and beyond, we will deploy this cash towards shareholder returns, further deleveraging and amplifying Coty's growth trajectory. Let me now turn it back to Sue to discuss our continued strategic momentum and significant growth opportunities ahead.
Sue Nabi: Thanks Laurent. Let me take a few minutes to delve deeper into the continued momentum we are seeing in our strategic initiatives as well as the new growth opportunities we are unlocking. There are four key takeaways I would like to share. First, as an industry leader in fragrances, we are cementing our fragrance leadership across all price points. Second, we are continuing to fuel our cosmetics brand through strong momentum in social media advocacy and now beginning to be complemented by our agile innovation strategy. Third, we are continuing to capture growth opportunities across categories, channels and of course geographies. And finally, we are setting and attaining new milestones in ESG as we pursue our goal of becoming a leader in sustainability starting now with the first point. Starting now with the first point. As Coty leverages its best in class end to end fragrance expertise and setting the trends in the industry, we continue to reinforce our leadership in prestige fragrances while at the same time unlocking more opportunities across the full price spectrum ranging from mass and masstige fragrances all the way up to ultra premium and niche fragrances. Starting with Burberry, after our blockbuster launch last year of Burberry Goddess, kickstarting the industry trend of exclusive quality vanilla based fragrances, we are now cementing Goddess into a lasting fragrance franchise. Through the fourth launch of Burberry Goddess and Tonceau [ph] de Parfum the activations and marketing is boosting the overall franchise with the combined sales of the original Goddess and Goddess Intense growing 17% like-for-like in the quarter. Importantly, our other iconic Burberry franchises like Hero on the male side and Her on the female side are also continuing their momentum resulting in the Burberry brand growing double digits in the quarter. Expanding on the key strategic imperative to build lasting fragrance franchises, the launch of Gucci Flora Orchid is off to a great start. Not only is Orchid performing well in itself, but as the fourth installment in the Gucci Flora universe, Orchid is helping to propel the overall Gucci Flora franchise to the top 10 ranking globally as we continue to fuel continued growth. Next on Marc Jacobs Daisy Wild, which was the top fragrance launch in the U.S. when we launched it in spring. We've been expanding the launch into additional markets and in the last few months Daisy Wild has become a top three female launch in both the U.K. and Germany. We also continue to build out the iconic Boss Bottled franchise. With this fall's successful launch of Boss Bottled Absolu, the total Hugo Boss brand sales grew at a double digit pace in Q1. In the ultra premium fragrance market which represents a multibillion dollar opportunity. Our collections like Chloé Atelier des Fleurs, Gucci Alchemist Garden and Burberry Signatures are resonating and this is complemented by our recently launched niche fragrance brand Infiniment Coty Paris, which I hope you've had the chance to experience in our newly opened boutiques in Paris and Manhattan. In total, while still relatively small as a percentage of Coty's total portfolio, our Ultra Premium fragrance business grew 17% in Q1. Of course, our leadership in fragrances also extends to more mass and masstige price points and we are capitalizing on this opportunity as well, particularly as consumers continue to shop fragrances across price points, channels and formats. For Coty, mass fragrances account for a mid to high single digit percentage of our sales and have continued to boom, growing by 15% in fiscal 2024 and by over 20% this past quarter. Importantly, this is a nicely accretive part of the business, contributing to the expansion of the consumer beauty operating margin. Further fueling our strong and profitable mass fragrance business is a key objective for us in fiscal 2025 and beyond, and this will be driven by both the core portfolio but also new additions. Our early signals for the Adidas Vibes fragrance collection launch are already positive. Sales in the Adidas fragrance business are one and a half times higher than a year ago and driving a strong halo on our Adidas business online. In terms of new brands. This past spring we signed a license agreement with German television presenter and model Lena Gercke. The first fragrance, LeGer, launched over the summer with an amazing juice, a distinctive bottle and a price point below €20. I'm very happy to share that the fragrance has quickly become the number one fragrance skew on the German mass fragrance market, reaching 1.5% of market share for just this skew alone. The final example of Coty reaching fragrance consumers across price points is our recently launched fragrance collection under the Chansendeau [ph] name. The brand has been dormant in our portfolio for many years, however, as we aim to bring in consumers into the fragrance category with accessible price points of less than $10, we have launched a collection of four fragrances under the brand and we see these resonating both in developed markets like Spain and in emerging markets like South Africa where the brand has become the number one female fragrance at the leading pharmacy chain. Moving to our second point fueling cosmetics brands through advocacy and agile innovation. As we've been discussing for several quarters now, an important phase of our Consumer Beauty Acceleration Plan has been on step changing our influencers, marketing and social media efforts, which includes our dedicated content creator studios across major markets which is a point of differentiation for Coty's brands, the focus on this strategy is paying off. Rimmel earned media value linked to the influencer's activity in the U.K. is now 40% higher than last year and the brand's EMV/VIT rank of number four remained consistent quarter-over-quarter even in the very competitive environment. The EMV momentum and Rimmel’s leading innovations including Thrill Seeker Extreme Mascara and Better Than Filters foundation have supported Rimmel's stable omnichannel market share. Similarly, CoverGirl's earned media value linked to the influencers activity in the U.S. grew 80% year-over-year and the brand maintained an EMV rank of number five quarter-over-quarter. This continued strength in social media advocacy coupled with our most on trend innovations including eye enhancer 3D mascara and Yummy Gloss Plumper resulted in CoverGirl's omnichannel market share remaining stable in the past quarter. And while our work is not completely done in terms of reigniting CoverGirl, making the brand resonate as strongly with the GenZ consumer as with Millennials and GenX consumers, it's important to highlight that this playbook has indeed been resonating as CoverGirl continues to perform the best amongst legacy mask cosmetics brands in the U.S. The next step for our growth playbook is our Consumer Beauty Agile Innovation model aimed at capitalizing on viral beauty trends real time and bringing them to market in a much shorter time frame than traditional R&D. We've launched several innovations under this strategy across our categories including Rimmel Thrillseeker mascara and Sally Hansen Nest Strips and have several exciting launches slated for the second half of the year. Of course, in addition to our core categories and initiatives, we also continue to capture additional growth opportunities across channels, categories and markets. e-commerce now accounts for around 20% of our business, with mid-20s penetration in prestige and low double digit percentage in consumer beauty. And importantly, we continue to gain market share in e-com across both divisions, with particular market share momentum in Burberry and Marc Jacobs on Prestige and CoverGirl, Rimmel, Sally Hansen, Nautica and Adidas in consumer beauty. Shifting now to our skincare business, in September we relaunched Lancaster across Europe, including the new Golden Lift skincare which reverses the three photoaging signs, dark spots, wrinkles and sagging. The early signs on the relaunch are strong with Lancaster sales in Europe, which is the brand's core region, growing double digits in Q1 with particular strength in the core skincare range. And our social media activations behind the brand are also bearing fruit as we've seen the brand's EMV growing by 5 times year-on-year and ranking at the number 7 spot amongst its competitive set which is an increase of four ranks versus a year ago. Shifting to Orveda, we have continued to fuel brand awareness among high net worth individuals through a variety of activations. This has resulted in sales at existing doors growing close to 30% in Q1, confirming the brand is resonating with consumers. As a next step, in September we opened our first Orveda Maison in Manhattan's Upper East Side district which will allow us to further build awareness and elevate the brand equity through this distinct and luxurious spa environment. And we will be expanding Orveda's distribution in the U.S. this year as we enter Nordstrom and [Indiscernible] to help expand the brand consumer reach with this target audience. Finally, from a regional standpoint, performance in our growth engine markets remains very strong. As you can see, these markets account for 21% of our sales and grew 15% in the quarter. We achieved this momentum despite the continued sluggishness in the China market, highlighting our balanced approach and regional diversification strategy. Finally, as part of our ambition to be a leader in sustainability, let me now highlight some of the key ESG milestones we have reached. As you may know, we issued our fiscal 2024 sustainability report earlier this week and I'm incredibly proud of the progress we made over the last year. While we reach several milestones this year, many of which you can see highlighted on this slide, I would like to highlight a few of them. Beginning with our planet Pidar [ph]. We are ahead of plan on our 2030 Scope 1&2 emissions reduction targets and also achieved a significant 65% reduction in Scope 3, air freight emissions compared to 2019. In addition, we established a new target to reduce water withdrawal by 25% by 2030. We also established ambitious new targets for sustainable packaging while also rejoining the Ellen MacArthur Foundation as a Network Member. Within our [Indiscernible] Pidar we achieved our gender balance and leadership target ahead of our 2025 commitment, 75% of our executive Committee and half of our Board of Directors and wider leadership are women. Our last report contains these updates and more. As you can see, Coty made strong progress towards our ESG goals in fiscal 2024, further advancing our beauty that last sustainability framework. Before I conclude, I want to take a few minutes to frame fiscal 2025 within Coty’s broader progress in the last few years and our trajectory for the coming years. When we first laid out our detailed strategy and mid-term targets three years ago in the fall of 2021, some questioned our ability to meet these targets. Three years later, with our fiscal 2024 results, we have met or surpassed each of our financial goals. Our revenues and EBITDA in fiscal 2024 are broadly in line with the targets we set at the time and significantly higher than those targets when taking into account our divestiture of Lacoste and our exit from the Russian market. In fact, our gross margin has expanded by over 400 basis points and our EBITDA margins have expanded by approximately 130 basis points from fiscal 2021 levels as we have both expanded profitability and at the same time reinvested in future growth engines. At the same time, our fiscal 2024 EPS is approximately 20% higher than what we had targeted and our leverage has declined by over three turns over this same period. Our strong financial progress in our P&L and balance sheet has been recognized by the rating agencies as we have achieved 11 consecutive financial upgrades from rating agencies since 2021, putting us within one notch of an investment grade rating. This underlying outperformance is partially due to a much stronger beauty market than we initially anticipated, but also due to our very strong execution. This year the beauty market growth is normalizing to a steadier growth level which is broadly consistent with what we had estimated several years ago of low to mid-single digit growth. However, for us, as for many other beauty players whom we were outperforming, this year is poised to be a transition year as the normalizing growth is exacerbated by pockets of disruption in several markets which we described on this call. As long as the U.S. market is disrupted on the mass side by drugstore closures and on the prestige side by department store closures and stiffer competition among retailers and as long as consumer caution and China disruptions are significantly pressuring both China and Asia travel retail, we anticipate a global beauty market which grows in the 3% to 4% range and Coty performing in line with this level. While these dislocations are impacting near term results, we remain very confident in both the beauty industry growth and Coty's ability to outperform in the coming years, led by several key drivers. First, a robust fragrance category with penetration and usage increasing across many markets and price points. Second, Coty expanding our offering in fragrances spanning from mass to ultra-premium fragrances. Third, expanding our business in categories where we are currently under indexed such as skincare and prestige cosmetics and fourth, strongly growing our business in growth engine markets which already account for a low 20th percentage of our sales. So, in sum, as we organize the company to succeed and win in the beauty market of tomorrow, and as we lean into our category channel and market growth engines, we expect to return to a healthy growth algorithm in fiscal 2026 and beyond at or above mid-single digit growth. To sum up, beauty remains a healthy and growing category even if the peak growth levels we saw in recent years are now normalizing to a more sustainable range consistent with our medium term expectations for 3% to 5% beauty market growth. Within this framework, we are continuing to outperform our global peers and are confident in delivering another year of like-for-like growth margin expansion and deleveraging progress. As we strengthen our position as a global beauty powerhouse, acting with the agility of smaller brands, but also creating the beauty trends of today and tomorrow, Coty remains one of, if not the most compelling investment opportunity in our industry. Thank you very much.
End of Q&A: